Operator: Good morning, good afternoon and thank you for waiting. We would like to welcome everyone to Ambev's 2024 Fourth Quarter Results Conference Call. Today with us we have Mr. Carlos Lisboa, Ambev's CEO; and Mr. Lucas Lira, CFO and Investor Relations Officer. As a reminder, a slide presentation is available for downloading on our website, ir.ambev.com.br, as well as through the webcast link of this call. We would like to inform you that this event is being recorded and all participants will be in a listen-only mode during the company's presentation. After Ambev's remarks are completed, there will be a Q&A section, when we kindly ask that each participating sell-side analyst asks only one question. Before proceeding, let me mention that forward-looking statements are being made under the safe harbor of the Securities Litigation Reform Act of 1996. Forward-looking statements are based on the beliefs and assumptions of Ambev's management and on information currently available to the company. They involve risks, uncertainties and assumptions because they relate to future events and therefore depend on circumstances that may or may not occur in the future. Investors should understand that general economic conditions, industry conditions and other operating factors could also affect the future results of Ambev and could cause results to differ materially from those expressed in such forward-looking statements. I would also like to remind everyone that, as usual, the percentage changes that will be discussed during today's call are both organic and normalized in nature, and unless otherwise stated, percentage changes refer to comparisons with 2023 fourth quarter results. Normalized figures refer to performance measures before exceptional items, which are either income or expenses that do not occur regularly as part of Ambev's normal activities. As normalized figures are non-GAAP measures, the company discloses the consolidated profit, EPS, operating profit and EBITDA on a fully reported basis in the earnings release. Now I will turn the conference over to Mr. Carlos Lisboa. Mr. Lisboa, you may begin your conference.
Carlos Lisboa: Thank you for joining our fourth quarter and full year 2024 earnings call. Today marks my first earnings call as CEO of Ambev and it is a pleasure to connect with you. Returning to my home at Ambev on its 25th anniversary and lead its amazing people is a dream come true. This is the place where I grew as a professional and over the years has shaped who I am as a person. Dreaming big, having an ownership mentality and not taking shortcuts will always be pillars for everything I do. Step into this role made me realize that a lot has changed since I left Brazil and there is plenty to learn from new and familiar colleagues. At the same time, I bring 32 years of experience with the company. Throughout this time I have had the privilege of leading marketing functions at Ambev and also global brands at ABI. I also managed businesses in more developed markets like Canada, as well as in emerging markets in Latin America south and more recently in Middle America zones, the largest zone for ABI. As I embark on this new and exciting chapter of my career, I am confident we can shape a bright future for our company. I'm glad today Ambev is stronger than it was five years ago. Thanks to Jean Jereissati's leadership and the team. Today, we have a unique portfolio of domestic and global brands that hold significant relevance for our consumers in each of our markets, positioning us to lead the category into the future. We also became a digital company with over 88% of our gross revenues transacted through BEES, our B2B platform. Our digital transformation has emerged as a key enabler in our evolution into an even more customer and consumer led organization, enhancing our effectiveness in meeting their needs. Finally, over the past five years, consolidated EBITDA grew by 37% and generated nearly R$65 billion real in free cash flow to equity while investing approximately R$30 billion in CapEx and R$33 billion in sales and marketing and 2024 played an important role in this journey. First, we maintained top line momentum. The beer reputation remains strong as the most relevant category within alcoholic beverages, having gained or maintained share of trout in the majority of our top 10 markets. In those markets, beer currently has aggregated share of trout of over 60%. We remain beer leaders in eight of our top 10 markets. Continue to develop the category not only by offering loved brands, but also bringing innovative liquids and new packaging solutions to address multiple consumer needs and consumption occasions. As a result, our volumes excluding Argentina grew by 1.4%, with our mega brands increasing by 7.6% and improving brand health in most of our markets. Our digital initiatives continue to progress. BEES was live in eight of our top ten markets by the end of the year and achieved 1.3 million monthly active buyers, an increase of 14% versus last year. As for DTC, Zé Delivery in Brazil fulfilled over 66 million orders, 10% higher than in 2023, providing 90 million consumers with the convenience of having cold beer and other marketplace products quickly deliver right to their homes. Our top line performance and digital transformation, coupled with a disciplined approach to our cost and expense management, led us to EBITDA growth with margin expansion in all our business units delivering a double digit consolidated EBITDA growth with gross and EBITDA margin expansion for the second consecutive year. On top of that, we generated nearly R$18 billion of free cash flow to equity, a 37% improvement versus last year. In terms of capital allocation, we have executed approximately 45% of our current share buyback program as of today and also completed the payment of IOC and dividend payout approved in 2024. Moreover, yesterday our Board of Directors approved the distribution of intermediary dividends of around R$2 billion to be paid in April. Now, I would like to share the commercial highlights for the year in our main markets. In Brazil, beer industry remained resilient, growing by low single digits in the year even with a decline in Q4 mostly driven by bad weather which impacted key beer consumption occasions. Our full year volumes increased by 0.6% driven by market share gains according to our estimate. Both core brands grew by low teens led by Corona, Spaten and Budweiser, while core brands dropped by low single digits as Brahma and Antarctica growth was offset by the decline of Skol, which is a priority for us in 2025. Furthermore, we continue to lead non-alcohol beer segment growing the 20s led by Corona Cero and Budweiser Zero. Still in Brazil, NAB volumes rose by 4.1% led by our focus on non-sugar CSD, sports and energy drinks. Guarana Antarctica grew volumes by high single digits, driven by Guarana Zero and reach over one million customers for the first time in history, supported by BEES. In Argentina, the overall consumer environment remained challenging throughout the year with beer industry down in low 20s. However, our continued work to be better prepared for the future led to a stable market share according to our estimates, while our mega brands improved brand health. Moving to Dominican Republic, volumes grew by mid-single digits led by the Presidente family of brands, which achieved all-time high volumes and drove gains in the brand health of our mega brands. Moreover, we estimate to have gained market share in the year. And lastly in Canada, our mega brands grew volume by low-single digits led by Corona and Michelob ULTRA, while also improving brand health. Total volumes declined by 3.1% in the year despite a positive performance in the fourth quarter. Now Lucas will cover our financial performance in more details.
Lucas Lira: Thanks Lisboa. And hello everyone. Going into 2024 we knew the year would be extremely challenging in terms of financial performance, given the significant tax headwinds in Brazil and the overall environment in Argentina. Nevertheless, we challenged ourselves to deliver another year of free cash flow growth in spite of this. And on balance the team managed to deliver results that were better than expected. In terms of growth, EBITDA grew 11.4% organically; 12.1% ex-Argentina. Normalized profit declined by 2.3%. Here, EBITDA growth and the best net finance results since 2014, nearly offset a negative impact of almost R$3.5 billion in less tax deductibility in Brazil, which resulted in a step change in our effective tax rate. By the way, this year nearly 60% of our net value added went to federal, state and municipal taxes, up from roughly 53% last year. Meanwhile, cash flow from operating activities grew 5.6%, while free cash flow to equity increased 37%. Now in terms of profitability, gross margin expanded 170 basis points organically, 190 basis points ex-Argentina, and EBITDA margin expanded 200 basis points organically, 220 basis points ex-Argentina. And return on invested capital declined to 18.6% with better asset turnover more than offset by NOPAT margin contraction given the significant tax headwinds in Brazil. And finally, in terms of value creation, we managed to keep our return on invested capital above our weighted average cost of capital by 6 percentage points and economic profit was positive despite a higher cost of capital. Now let me double-click on cash flows. Cash flow from operating activities totaled a little over R$26 billion, Cash flow used in investing activities totaled approximately negative R$5.5 billion, and cash flow from financing activities totaled about negative R$10.4 billion. What's more we ended 2024 with about R$29 billion in cash and cash equivalents, which gives us ample liquidity going forward, which brings me to the topic of capital allocation. Thanks to our strong balance sheet and resilient cash flow generation, we will continue to reinvest in organic growth opportunities, which are plenty, invest behind attractive nonorganic growth opportunities that may arise and return excess cash to shareholders over time. In the last quarter of 2024, we announced approximately R$12.5 billion of excess cash to be returned to shareholders. An 8.7% increase when compared to our gross payout in 2023. About R$3.8 billion were in the form of IOC paid December 2024 and nearly R$6.7 billion were in the form of dividends paid in January 2025 and roughly R$2 billion were in the form of share buybacks, out of which approximately 800 million have been executed to-date. In addition, consistent with the Board's decision to commence intermediary dividends, a dividend has been declared totaling approximately R$2 billion to be paid in April. Turning to 2025. We will continue to focus on optimizing our business by managing and allocating resources diligently and in a smart way. Moreover, our ambition is to stay on the margin expansion track despite the well-known cost headwinds, particularly in Brazil, given the depreciation of the Brazilian real and increase of aluminum prices. Assuming current FX and commodity prices, we expect our cash COGS per hectoliter in Brazil beer, excluding non-Ambev marketplace products, to grow between 5.5% and 8.5% in 2025. To overcome this challenge, we will once again rely on our strict financial discipline in terms of costs and expenses but revenue management will also play an important role. In 2024, although our price to retailers and mix were ahead of inflation, our overall net revenue per hectoliter performance was negatively impacted by higher state VAT taxable base, which should be less of a factor in 2025. It's not an easy task, but the team is once again up for the challenge. Before handing it back to Lisboa, as you know, this is my last conference call. After five years in the role and 20 years between Ambev and AB Ambev, it's time for a break and it's time for me to spend more time with my family. So I just wanted to take a moment to give thanks. Thanks to Mariana, my wife and our three daughters for allowing me to go all in over all these years, thanks to the teams I had the privilege of leading and learning from, especially my team as CFO for having my back as well. Thanks to all of those who inspired me, bet on me, challenged me and gave me feedback over the years and thanks to the investment community for your trust, your questions, provocations and your feedback during our interactions. I truly learned a lot. That's it for me. Lisboa, over to you.
Carlos Lisboa: Thank you, Lucas. And since this is your last earnings call at Ambev, I would like to thank you for the great leadership and dedication over the past years. You have been a fundamental part of the evolution of our company that I mentioned earlier. Before we go to Q&A, let me share recent experience that truly resonated with me. Two weeks ago, we had our Brazilian annual sales convention, my first in 15 years. This event is a cherished tradition at Ambev and reflects the essence of our company. We gathered 4,000 people from all over the country to share our plans and ambitions for the year. It's simply impossible to leave this event without feeling energized by our people. Falling even more in love for our category and our brands and being confident about the future of our company. And it is with this energy and inspiration that we kick off the next 25 years of our company. Our focus will be to execute our strategy and progress in all its three pillars across our markets. Pillar number one, lead and grow our category. Over 95% of our volumes come from Latin America markets with growth potential. As beer category holds a unique cultural relevance in the region and consumption per capita is still low compared to similar regions. Therefore, we have plenty of opportunities to engage more consumers with our category across a wider range of occasions. Pillar number two, digitize and monetize our ecosystem. We want to build our organization for the future and data insights from our digital ecosystem will allow us to be ahead of time by proactively addressing our customer and consumer needs. Pillar number three, optimize our business. We will execute pillar number one and number two while simultaneously working to expand margins and improve earnings per share. We will focus on profitable growth to deliver sustainable value creation to all shareholders. And one last thought before I close. When I look back to the company that fascinated me 32 years ago, there are many things that remain true. But there is one that is really special, the quality of our people and their ability to adapt and overcome challenges. I am very proud to be part of this team again and I would like to thank the entire team for the warm welcome. Together, we will build the Ambev of many years to come. Thank you very much for your attention. And now, I will hand it back to the operator for the Q&A.
Operator: We will now begin the Q&A session. [Operator Instructions] Our first question comes from Thiago Duarte with BTG. You can open your microphone.
Thiago Duarte: Yes. Thank you. Good afternoon, everybody, Lisboa, Lucas, nice talking to you both. Yes, I have a question and I think I’m going to have to split it in two. The first one is actually regarding one comment that Lisboa did in his opening remarks talking about Skol and I think you mentioned the decline of Skol volumes in 2024 and of Skol being, if understood correctly, a priority in 2025. So it would be nice if you could talk a little bit more about it. And elaborate a little bit. Why do you think that’s important for the portfolio as you said yourself Lisboa, the company is stronger today than it was before. The portfolio is stronger. There are many more brands participating in the volume mix of the company. So if you could elaborate in terms of the size and the scope of the opportunity for scope, that would be great. And second, if you could talk a little bit more, and particularly in the fourth quarter about the volume performance in Beer Brazil, you mentioned the weather as a headwind during the quarter. That’s clear. But I was wondering if there was differences in terms of the performance of volumes on a regional basis. And the reason I’m asking this is because you had a relatively soft price increase year-over-year. We saw tax subventions increasing as a percentage of sales. So I’m led to believe that you had a better performance in regions like the Northeast and the North, as opposed to the South and Southeast. And I wanted to confirm if that makes any sense. And if not, if you could elaborate on that, it would be great as well. Thank you so much.
Carlos Lisboa: Hey, Thiago. It’s true pleasure to talk to you today and think about the two questions. Okay. So let me elaborate first about Skol. One of the things that I’ve learned, throughout my journey, Thiago is the following. Whenever you have a healthy core for your category, potentially you’re gonna drive, right, your category to a healthier condition, right? So in Brazil, we have three strong core brands, right? And they have a complementary role, which is very interesting for us. And on top of that, they have different competitive levels across the country, as you mentioned in your second question, right? So when you think about Skol, right? Skol is the – together with Brahma, right, the two most important brands that we have, right, in terms of volume and top line contribution at Ambev Brazil, right? Many of our initiatives and decisions were very assertive, right, for many brands and impacted positively Brahma in Antarctica. However, this was not the case with Skol, right. And that's the reason why I made the point that we acknowledge that 2024 was not a great year for the Skol and we treated – we will treat it as a priority moving forward. And I think you saw in the beginning of the session, right, as part of the video, a new, right, marketing initiative to support in a different way Skol this year. Talk a little bit more about the brand just to clarify why it is so important for us. On top of the volume and top line relevance. In 17 states of Brazil, Skol is the leading brand. On top of that, 50% of Brazilian consumers, right, consume Skol in the last three months, right. And on top of the internal relevance, when you reflect about what this brand stands for, represents for the category. On the functional end, Skol is a [indiscernible] of an easy to drink liquid that we know is the liquid profile consumers love the most in Brazil, right. And on the emotional end, Skol represents exactly what the category represents for Brazilian consumers. It's all about joy, fun, being with friends, right? So with everything I said is almost like an obvious conclusion that should be a priority for us to put this brand back on a positive trajectory. And this is exactly what we're going to do. I hope to have had – have answered your question about the brand. And the second point about the regions. You're right, when you say that some specific regions continue to lead the way in terms of growth. And you are right to mention, right, north and northeast, right, as the leading regions for us in terms of volume performance throughout the year and was not different in the last quarter of 2024. Thanks again.
Thiago Duarte: Thank you. That was very clear. Thank you so much.\
Operator: Our next question comes from Carlos Laboy with HSBC. You can open your microphone.
Carlos Laboy: Thank you. Maybe we can build on that answer that you just gave Lisboa to how you look at the position of all your mega brands within the portfolio. And maybe you can also touch on how you're approaching maybe occasion brand package price positioning – point of sale segmentation changes to address how you view this broader portfolio, playing differently going forward.
Carlos Lisboa: Hey, Laboy. Nice to talk to you again. Thanks for the question. One of the things that I love the most about my return to Brazil is the opportunity that I – we have as a team to move this – our new portfolio forward, right? [indiscernible] the team, they did a great job, right, complementing what you used to have here in Brazil in terms of domestic, really strong domestic brands. With a new portfolio of global brands, right, playing a very interesting complementary role, attending more consumers and having the chance to introduce our category into more occasions. And I'm saying all of this, because in the end, this should be our role, Laboy, as leaders of the category. Our main objective must always be move our category forward, right, prepare our category to a more mature type of reality tomorrow, right? And by doing what we are doing today, I mean in terms of brands assortment, SKU assortments, right, this will give and already give us the opportunity to be present in different box, right, different occasions with the relevance of our category demands. The beer category in Brazil has one of the strongest reputations for the category in the world, right? Our role is to boost it, right? And after all these years, right, living abroad is great to see that our category can be way more than it is here in Brazil, right? So there's plenty opportunity for us to develop the category. In different places, right, we express the category in different ways, right. In Mexico was amazing to see, right, mixes being done with beer, right, using beer as a base and people loving the chance to – and the opportunity to experience our products in very different ways than we do here in Brazil, just to give you one example. So in the end, this is all about our key role as leaders, right? Move this category forward and make our category even stronger to continue, right, surprising our consumers in a very positive and strong way, right? And in the end, now when we combine global, local and new liquid solutions that we brought and we will bring to consumers forward, we are pretty sure that our category will surprise us in a very meaningful way forward.
Lucas Lira: Lisboa, if I may, can I just add one comment, Carlos, which is – which relates to digital, okay, and then how digital has helped us over the last few years to kind of fundamentally change how we interact with and as a result, better serve clients and consumers, right? So by introducing this – by introducing Zé Delivery, right, in the meaningful way that we did in Brazil, and there’s more to be done outside Brazil as well, for that matter. I think we managed to really deliver kind of a paradigm shift where we now have a one-to-one conversation with clients, one-to-one conversation with consumers, which has helped us a lot in terms of the assortment we offer, to whom, when we offer it, how we offer it. And so it really gives us a much more robust platform, right, to really expose our consumers and our clients to our broader portfolio.
Carlos Lisboa: Well said.
Carlos Laboy: Thank you very much.
Carlos Lisboa: Thank you.
Operator: Next question from Isabella Simonato with Bank of America. You can open your microphone.
Isabella Simonato: Hi. Good afternoon, everyone. Hope you guys hear me well. Nice talking to you Carlos and Lucas. Two questions on my side. One, you guys mentioned, if I’m not mistaken, it is the first time in a while about inorganic growth, right? So I wonder if you could elaborate a little bit more on that. And what types of opportunities are out there and what’s the strategy behind this inorganic growth if eventually it happens? And my second question is, you guys release, right, the guidance of cost for Beer Brazil for the year, which is ahead of inflation. And I understand there’s, look, as you mentioned, right, revenue management and cost efficiencies and so on. But I wonder if you could bring a little bit more details on what can be done, right, especially in terms of revenue management. We saw a big contribution in the last few years. So I wonder if how much more is there to come to overcome, probably not only a year, but two years of cost ahead of inflation? That’s it for me. Thank you.
Carlos Lisboa: Hi Isabella. Also really nice to talk to you. Let me take the second one and then I’m going to let Lucas elaborate about the first. Okay. So the point is the following. I think over the last several years, the largest detractor of our margins, not only Brazil, but mainly Brazil were input cost pressure, right? 2024 was just the beginning of what we consider a recovery journey, right? So I’m saying this just to emphasize that we want to put a special emphasis behind productivity this year, right? And as you said, right, our revenue management initiatives combined with this productivity emphasis should be the key drivers to let us deliver again, margin expansion. This is a collective ambition that we have, right, at Ambev. And this is the point that I want to emphasize with you, right? We know that this year will be different from last year when we had somehow a tailwind on the cost end. We gave you the new guidance on the cash COG side, right, but despite the challenge, the team is up for the delivery, again, a positive year for us in margins. Lucas, over to you.
Lucas Lira: Thanks, Lisboa. With respect to inorganic growth, Isabella, I think the first comment to make is our first and foremost priority is reinvesting organic growth. That hasn’t changed and will not change in particular because we still see plenty of opportunities for organic growth in the country. That’s true for Brazil, that’s true for Latin America, South CAC and Canada. Obviously each market has its, right, its specificities, but when it comes to organic growth, we still see plenty of opportunity going forward. So that’s where I think the bulk of our energy time focus capital is going to be deployed going forward. I think the comment around inorganic growth should be read in the context of how we look at capital allocation more broadly, okay? Because once we're – once we've kind of exhausted our organic growth reinvestment opportunities, we will look to allocate the excess capital that we have behind either inorganic growth opportunities, which are hard to time, if and when they may rise, and we're fairly disciplined about M&A strategy planning execution in this company. So it has to also be at the right price and make strategic sense for the organization long term. Number one. Number two, return excess cash to shareholders, be it in the form of IOC dividends or buybacks. So I think the comment should be read in that light. We're always in the water looking for opportunities. And I think if you look at how we approach kind of inorganic growth opportunity over the last few years, we've been looking at inorganic growth opportunities that either will help us serve clients better I think a good example is for – when we acquired menu.com, which was subsequently kind of rolled up into beast, okay or M&A opportunities that allow us to deliver more value to consumers, okay. Be it on the portfolio side, be it in beer, be it a non-alcoholic beverages, ready-to-drink beverages in some markets. In Canada, just to give you an example, we acquired Neutral a few years back, which has been doing particularly well over – since the acquisition. So I think the point around inorganic is really – we're in the water. We're always interested in looking for interesting opportunities. But with this customer, or consumer value-add mindset. Thank you.
Isabella Simonato: That is very clear. Thank you very much.
Operator: Next question from Lucas Ferreira with JPMorgan. You can open your microphone.
Lucas Ferreira: Hi guys, good afternoon. First of all, Lucas, good luck in your next steps, and thank you very much for all the interactions of all these years. Guys, I have a question on – you discussed a little bit pricing volumes and the outlook for COGS in the year. So I wanted to discuss a little bit the outlook for market investments, distribution costs, if I may, for 2025 in Brazil, especially in light of the comments on you guys made on Skol and organic growth. So in sum, what does it imply to marketing expenses in the year, how much investments you guys doing in the older platform. Could we expect that to follow the revenue growth? Or you think it's time to accelerate a little bit? So how to think about that, that would be great. Thank you very much.
Lucas Lira: Hey. Hi Lucas. Thank you. Thank you for the kind words. It's been a pleasure. I think a good way to think about SG&A going forward, is to think about what we've actually managed to accomplish in terms of how we've managed SG&A over the last couple of years. And what I mean by that is, when you look at our SG&A results, and here I'm focusing on Brazil Beer just as an illustration. I think we've managed to successfully deliver good SG&A performance overall through a combination of, number one, continuing to invest in sales and marketing to further strengthen our portfolio, broaden our portfolio and continue to invest behind our brands. So we don't want to compromise on that. Quite the contrary. So we've managed to continue to invest behind sales and marketing while funding this investment in sales and marketing through better performance on the distribution side, better performance on the admin/overhead side, okay? So when it comes to distribution over the last couple of years, we've seen efficiencies coming from the DTC side of the business. We saw a lot of opportunities to, as we integrated, for example, that delivery more into the core business we saw an opportunity to become more productive on the distribution side and as we learned more about our last mile capabilities and what worked better with consumers in City A or City B, it allowed us to be more and more efficient as we progress. And on the admin side, I think here, there's no silver bullet, no quick solution. It's really about implementing and tracking, monitoring, living our ZBB culture, if you will, with a lot of visibility, ownership, accountability of the package owners to make sure that we continue to run an efficient operation and really help operational leverage overall. And so by being more disciplined on the distribution and admin side, we allow access or we free up resources better set to continue to invest behind sales and marketing. And just to give you some numbers if you look at Brazil beer's performance full year SG&A if I recall correctly, we actually ended up growing below inflation for the year if you exclude variable compensation which will always, right, vary year-over-year. But I think that was a – and if I recall correctly 2023 was not that much different. So I think that's something that we will always look at and look for. It's not something we are particularly solving for, okay. We're not guiding anything specific with respect to SG&A. Our guidance is strictly cash COGS per hectare liter related. But I think having the ability over the last couple of years of delivering SG&A growth ex variable comp at or below inflation, I think is a good challenge for the team and something that we will always be kind of tracking, okay.
Carlos Lisboa: Just to complement Lucas, I truly believe that our flywheel that represent the essence of our strategy one, two, three is a powerful mechanism, right, to make the number one, right, be boosted by the number two, the category whenever you have the capabilities that come from the digital transformation, you can, right, attend in a way better way your customers and consumers. And when you sum up one and two, you give yourself the opportunity to optimize your business and free up resources to reinvest in number one. And by doing so, you do it again and do it again, you turn it again, turning again. So you keep investing your business while creating true value for all stakeholders, right. I think this is the essence of what we understand. We as a team should do in every single market we operate.
Lucas Ferreira: That's clear, guys. Thank you very much.
Operator: Our next question comes from Felipe Ucros with Scotia. You can open your microphone.
Felipe Ucros: Thanks, operator. Good morning, Lisboa, Lucas and team. Thanks for the space, Lucas, best of luck and thanks for everything over the years. I wanted to ask a question on the digital front. You've had a few years under your belt and you did a few changes to optimize the business and fold it into the core, as Lucas just mentioned in 2024. So just wondering if you could give us an update on the third-party product side of BEES [ph]. How have the partnerships evolved? And perhaps you can comment on where profitability and ROIC are coming out after the changes that you made last year? And perhaps what you can expect for the midterm if you already have some targets for that? And that will be my question. Thank you.
Carlos Lisboa: Hi, Felipe. Nice to connect to you. Let me kick off here, then I hand over to Lucas to complement the point, okay. So the essence of your – the answer for your question is the following. BEES marketplace continues to be a very interesting new venture for our company in different markets, but mostly here in Brazil. GMV full year 2024 grew almost 50% year-over-year to be more precise, 47%. 86% in Q4 mainly driven by 3P expansion, right, with still a lot of opportunities ahead of us since we continue to learn a lot. You can imagine, right, the quantity of data that we are colliding and converting data into insights. And by doing so, we continue to strengthen the relationship we have with our partners and attending better our customers, right. We see the marketplace as a very interesting way to become a true one stop shop for our customers, right, providing them, right, more than – more alternatives, right, to fulfill their inventories and offer a diverse quantity of products and categories to their consumers. And it's very interesting because whenever we make the marketplace stronger, we see our core business, right, strong as well. So the combination is a pretty interesting way for us to drive what I mentioned before, not only new ventures being new growth corridors for us, but at the same time helping us to strengthen the core side of the business.
Lucas Lira: So just to add, Lisboa, hi Felipe, thanks for the question and the feedback. I think my only additional comment is with respect to the marketplace side of the business. And I think 2024 was another year where the partnerships that we started to forge over the last few years, they really continue to evolve in a good way. And this is true not only on the marketplace side, but also on the software as a service, the 3P side of the business. So we're going to continue to invest behind, kind of strengthening and deepening the partners that we've established to date and also explore future partnerships with other FMCG companies in Brazil, for instance. But I think with respect to marketplace, I think one of the interesting things to note is given that we already have this very valuable asset deployed in the form of our relationship and our reach to roughly 1 million points of sale in Brazil on a daily, on a weekly basis, right, that relationship, that intangible has already been invested. And so and on the more tangible side, right, our distribution capabilities with our direct distribution and also leveraging the distribution capabilities of our wholesalers, that installed base is already there. And so for us, it's the marginal capital deployment that we have to make to allow ourselves to offer to our clients this broader assortment of other categories, right? It allows us to have despite the lower margins of this type of business, a very attractive, very attractive return on invested capital. And we're not at the point yet where we have to, right, significantly invest behind our warehousing, not only size, but also scope and technology and capabilities to manage a more significant amount of SKUs. We're still in early days, so I think we still have a good runway to really leverage the installed distribution footprint and warehousing capacity and capabilities that we have. And so margins are continuing to progress. We are not at kind of the level of certain benchmarks in Brazil, but 2024 was another year of a step in the right direction, on the operational margin side. But the good news is that return on invested capital is continued to be very attractive and improving and we still see a decent runway for that to improve going forward. Okay?
Felipe Ucros: Very clear. Thanks a lot, guys.
Operator: Our next question comes from Ricardo Alves with Morgan Stanley. You can open your microphone.
Ricardo Alves: Hello, everybody. Thanks for the call. I wish you, Lisboa, all the best in the position. It's a pleasure talking to you. And, Lucas, as always, thanks so much for all the – always the very detailed answers, appreciate the time and patience with us. Two quick follow ups, Lisboa, if I may. As you return to Brazil, how do you assess, competition, in Brazil for Brazil beer specifically? We recall Ambev raising prices around September if I'm not mistaken. Of course, we appreciate all the issues of ESMES [ph] last year, but seeing your chart, the bridge that you showed, pricing mix at 5.5% for 2024. And as we start to think about the cost inflation scenario, the 7% to use your midpoint of the guidance for beer inflation this year. I mean, it could raise some eyebrows considering that there may be still some discount activity. We noticed some discount activity by the end of the fourth quarter. So as you come back to Brazil, I just wanted to hear, what are your latest thoughts on competition? You have two big competitors that are going through very different, performances. So, I would be curious to hear how you balance that out to the performance of your peers and how does that – what does that mean for Ambev? And the quick follow-up, the second follow-up would be on the comment that you made that one of your objectives is to develop the category. Can you give us some more examples of I mean, per caps in Brazil, when you think about per caps in Brazil, they seem high as a country, but maybe are you seeing opportunities in other regions or different channels? Are we talking about new liquids or a new ways that Ambev is going to be able to grab share of throat from other alcoholic beverages? I'm just trying to understand as you come back to Brazil, what are the low hanging fruits that you see for the market in Brazil that maybe you saw elsewhere? And then in practical terms, how could you essentially boost the beer relevance for a country that is already drinking beer for a while? Appreciate your time, everyone.
Carlos Lisboa: Super clear, Ricardo. Thank you very much for the two questions. Let me first elaborate about the second question, right, the category. Look, I think the first reflection for us is the following. The industry I'm going to use Brazil as a proxy just to elaborate to your question, but that applies abroad Brazil as well. First and foremost, industry caused my attention, okay, beer industry Brazil, very resilient since 2020, growing year-after-year-after-year, right. And 2024 was not different despite what we saw in the end of the year with adverse weather impact, right. This is the first point for us to keep in mind. The second one is the falling. I think it's a wrong conclusion, assume that the per capita in Brazil already achieved a very high level with very little room for growth, right, because Brazil, similar to other regions where we operate is a developed region, right, and you see very interesting moves, right, occurring within this reality, right? Population moves from lower socioeconomic levels to higher socioeconomic levels. You see, right. Population growth, which makes, the LDA consumer pays bigger year-after-year. And on top of that, when you compare Brazil with other markets around the world, peer markets, you quickly, realize there is room for growth. And why I'm saying this, participation, which means number of consumers connected to your category. Right. When you compare Brazil with markets like Mexico or other emerging regions right around the world, we see a gap of 10 percentage points almost. 5 percentage points to 10 percentage points. When you go to the other side of the story, I mean, the number of occasions where beer participates. Right. Brazil also shows a gap. Right. The consumption habit in Brazil is very concentrated during the weekends. Right. While in other markets we do see consumers adopting beer, adopting our category. Right in different moments in the week. Different day times. So I'm going to give one example from Mid America. As one of the key drivers for us in the last few years was, the development of our category with meals, a very interesting type of occasion for beer, which is clearly an opportunity for us, not only Brazil, but it's outside Brazil as well. Another good example to. Just to reinforce what I'm saying in terms of category development is the non-alcohol beer, right. We do see very interesting growth rates across the globe. Brazil is not different. Our region is not different. Right. So, and when we compare the current level of development, development of, no-alcoholic beer against all the more developed markets, that is a huge gap, right. And represents a lot of growth if we do it the right way, not only for those who cannot drink alcohol, but mostly for those who love beer. And now with non-alcoholic beer, they're going to have the chance to choose beer in more occasions. Just to exemplify a little bit more what I'm saying about the potential that our category has, not only Brazil, but across the region. Right. For us at Ambev. Regarding your first question. If there's something that didn't change, Ricardo, since my departure is the fact that, the Brazilian market has always been very competitive, very. And today is not different. Right. So just to emphasize what I'm saying again, we always had three out of the top five brands, most relevant brands in Brazil throughout all these years since, right. The beginning of Ambev. So, this is not a new reality for us. So as a consequence, in our point of view, competition is good, make us stronger. Competition is good, make the category stronger. And it's great because we are always challenging ourselves right to bring a better version of our company to be way more competitive in this very dynamic reality. To your point about pricing, we don't give guidance about pricing. What I can say to you, price will be a key component to deliver to our ambition to continue margin expansion in 2025 together with cost management. This is what I can reinforce and I will reinforce a lot. And this is what the team is committed to deliver.
Lucas Lira: Yes, not only price inducible, but I would broaden it a bit and because it think pricing is an important lever, but I think revenue management strategy as a whole I think is – as or more important looking forward.
Ricardo Alves: Thank you very much, Lisboa for the detailed answer. And thanks, as well, Lucas.
Carlos Lisboa: Thank you.
Lucas Lira: Thanks, Ricardo.
Operator: This concludes the Q&A session. I would like to invite Mr. Carlos Lisboa to proceed with his closing remarks. Please go ahead, sir.
Carlos Lisboa: Thank you for joining our call today. I'm very happy to be back 15 years later. A better version of myself came to lead the company that I love. More experienced, yet hungry for new learnings and also accomplishments. I'm pretty sure together with the team we will build a better version for our company for the future. It is a pleasure to meet with you if right? And I hope we're going to have a chance to meet again in person sometime soon. Thank you all. Bye-bye.
Operator: This concludes today's presentation. You may disconnect and have a nice day.